Kip Meintzer: All right, guys. Greetings. My name is Kip Meintzer, Global Head of Investor Relations for Check Point Software. I'd like to welcome everyone to our first quarter 2022 financial results video conference. [Operator Instructions] Joining me remotely today on the call are Gil Shwed, Founder and CEO; along with our CFO and COO, Tal Payne. As a reminder, the video conference is live on our website and is recorded for replay. To access the live conference and replay information, please visit the company's website at checkpoint.com. For your convenience, the replay will be available on our website. If you would like to reach us after the call, please contact Investor Relations at e-mail at kip@checkpoint.com. 
 During the course of this presentation, Check Point's representatives may make certain forward-looking statements. These forward-looking statements within the meaning of Section 27A of the Securities and Exchange Act of 1933 and Section 21E of the Securities and Exchange Act of 1934 include, but are not limited to, statements related to Check Point's expectations regarding our products and solutions, expectations regarding our customer adoption of our products and solutions, expectations related to cybersecurity and other threats, expectations regarding our 2022 initiatives, our ability to continue to develop platform capabilities and solutions, customer acceptance and purchase of our existing solutions and new solutions. 
 The market for IT security continuing to develop competition from other product services and general market, political, economic and business conditions, including as a result of the impact of the COVID-19 pandemic. These forward-looking statements are subject to other risks and uncertainties, including those more fully described in our filings with the Securities and Exchange Commission, including our annual report on Form 20-F filed with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on information available to Check Point as of the date. Our Check Point disclaims any obligation to update any forward-looking statements, except as required by law. In our press release, which has been posted on our website, we present GAAP and non-GAAP results, along with a reconciliation of such results as well as reasons for our presentation of non-GAAP information. 
 Now I'd like to turn the call over to Tal Payne for a review of our financial results. 
Tal Payne: Great. Thank you, Kip. Just one second. Okay. So I hope you can see the presentation. Good morning, and good afternoon to everyone joining us on the call today. I'm really pleased to begin the review of the first quarter. And the safe harbor and the forward-looking statements, I'm sure you're familiar with Kip cover that one. So I'll go straight to the results, and let's start with top 2 metrics, the revenues and the EPS, both of them are at the high end of our projections. 
 Revenue is reaching $543 million, which is at the high end of the guidance and the $11 million above the midpoint. If we're looking at the earnings per share as well as earnings per share $1.57, $0.04 above the midpoint and also at the top part of our guidance. Before I proceed further into the numbers, let me just remind you that our GAAP financial results include stock-based compensation charges, amortization of acquired intangible assets and acquisition-related expenses as well as the related tax effects. Keep in mind that as applicable, the non-GAAP information is presented excluding these items. 
 Now let's dive into the numbers. And I will start with the first 1 that might resolve most of your questions regarding the bidding. So let's start with the top one. Revenues grew 7% from $508 million to $543 million, really nice results and ahead of our plan. If we look at deferred revenues, deferred revenues increased 14% for reaching $1,666,000,000. When you calculate the billing, the billing increased by 4%. Let's make 2 things very clear to start with. The booking was very strong, double-digit growth in our annualized booking and the total booking. It was across all regions and it was almost in any metrics that we looked at. This was 1 of the strongest quarters that I remember. We had significant growth in the booking, but significant part is still not part of the billing. 
 Remaining performance obligation, which I never provide quarterly, but I thought it would be helpful for you to see that this quarter just because of the misalignment between the actual strong bookings that we had and the billing. You can see remaining performance obligation, which all of you familiar with, it's somewhat a reflection of the backlog, deferred revenues plus the booking that was not invoiced yet, increased by over 20% year-over-year. So a really strong quarter. 
 Moving ahead, let's look at the revenues by product and security subscription. Again, quite exciting quarter when it comes to the breakdown products increased, you can see from negative in the last 2 year-over-year, both in Q1 and in Q1 2021. This year, we are in 6%. It's an acceleration from the growth that we see in Q4, which is in line with what we're seeing also in the booking, which was actually significantly stronger. When we're looking at security subscription, again, 10% moving to 12% growth, moving to 14% growth, strong growth there. 
 Let's dive a bit to the drivers behind the growth. So we look at the product, appliances were very strong. We see growth both in units and in dollars when it comes to appliance product bookings and revenues and it came from across the appliance family, SMB appliance, mid appliance, largest appliance [indiscernible], both in dollars and...
 [Technical Difficulty] 
 Can you hear me well? Okay, it went away. Good. Thank you. So I repeat the last sentence, just in case you didn't hear it. Appliances, SMB, midsize, large-sized, Maestro switches all increased both in dollars and in number of units. So a very strong quarter when it comes to products. Subscription revenue growth continued to be strong with 14% coming from the same drivers. So we see success in Harmony, CloudGuard both in revenues double digits. Infinity revenues, which include 2 or 3 pillars of our solution continue as well to be strong with triple-digit growth year-over-year in the revenues. So really nice results from any angle that we looked at from this perspective. 
 First time in a few years that product and subscription revenues together reached the first metric that we put for ourselves with a target to reach double-digit growth in our new business, which is typically the product and the subscription revenue. So increase from 5% to 7% and hitting for the first time, I think, from 2017 to 11% growth. So that's very, very nice to see and in line with our plans. 
 Moving ahead by geographies. Also here, when you calculate the revenues, you will see clearly it was quite a nice quarter. America with 43%, EMEA with 44% and 13% for APAC. When you calculate, you will see 2 things. You will see that all regions increased this quarter. We're super excited about America, which moved to a nice growth. I can give you in the background, the data that you don't see very strong double-digit growth in new business bookings across all regions. New booking it means it's not renew. So we see growth of double digit in all regions, EMEA, Americas and APAC. Also annualized booking, which is -- excluding the multiyear on purpose, so we will see the health of the business was double digit in all regions and America leading the growth under the new leadership with a super exciting quarter. So really nice to see that. 
 Moving to the P&L details. I start with the gross profit. So gross profit -- the gross margin continues to be strong at 88%. Naturally, as you all know, there are supply constraints in the market, which affect all of us. Many components costs increased significantly, leading to higher cost, and you will see it as part of our cost of goods sold, which led to the margin moving down in between 1.5% to 2%. It's a small portion of our total gross margin, that's why it's still very strong at 88%. But when you look at the cost of goods sold, you see a significant increase there. For us, number one priority is to deliver to our customers and to focus on the top line growth as we all defined in the beginning of the year. We were very successful at that. And so far, there's some delays maybe a week, 2 weeks, 3 weeks, but we are way ahead of the market in terms of our ability to deliver. I hope it will stay that way. I will tell you exactly the same like the previous quarter. I cannot give indeed, but we're working really hard and paying what we need to do in order to be able to deliver to our customers. 
 As for the situation, I hope this is temporary. The supply chain constraints, it looks longer than people thought last year. I hope it will be finished by the end of the year, but we cannot guarantee all of us seeing the news about China and the lockdown. So hopefully, it will be resolved quickly. Moving ahead with operating expenses highlights. So you can see operating expenses increased significantly 15%. For us, it's good news because I'll remind you, we discussed in our plan that we want to increase the workforce, mainly sales and R&D and continue the elevated investment in our rockets, CloudGuard, Harmony in order to continue the strong momentum that we've seen already in the fourth quarter of last year, and we see the continued momentum also in the first quarter of 2022. 
 So in line with that plan, we increased our workforce in about 15% which is, as you see, very much in line with the increase of the expenses that we see here. Of course, it's including also Avanan and Spectral acquisition. Avanan was Q4. So year-over-year, it's not as part of the growth and Spectral was in February 2022. So it's partially part of that number. 
 Operating income. Operating income, non-GAAP operating income continued to be strong at $239 million, which is 44% operating margin, very strong still under the growth of the 15% in the headcount. Our financial income in line with our projection, about $7 million, reflecting the reduction in the portfolio yield, which should happen in the last 2.5 years. I think this is it. We are in an environment that the interest rates are going up. So over time, as the portfolio will released, we will be investing in higher interest. So very, very slowly, probably we will start to see in the next 2 or 3 years, the growth in the interest income, assuming that everything else will stay the same, meaning excluding M&As and activities like that. 
 Non-GAAP tax rate for this quarter was around 17% and in line with the plan. Expect similar rates for next quarter. Non-GAAP net income was $204 million and $1.57 the EPS, which is $0.04 above our midpoint and 2% increase year-over-year. GAAP net income was $169 million or $1.30 per diluted share. Moving to our cash flow. So cash flow balances of $3.8 billion, very similar to the end of Q4, it's actually a slight increase. 
 Operating cash flow this quarter was super strong, almost $400 million, an increase of 6% year-over-year. If we eliminate the acquisition effect, it's actually 7%. During the quarter, we continued our buyback program and purchased 2.5 million shares. So it's less than we planned because the share price moved up. The average share price that we acquired was $131 per share. So it's 2.5 million shares for a total of $325 million, in line with our buyback program. 
 And now I will just summarize it. So very strong financial results, revenues and EPS at the high end of our projections. We've seen growth in all geographies, which is nice to see America joining that growth. We have double-digit growth in the product and subscription revenues together, a very nice milestone, and we continue to focus on the top line growth, and that's where we are at this point of time. 
 And now I will turn the call over to Gil for his business review. Thank you. 
Gil Shwed: Thank you, Tal, and hello, everyone. I hope you can see me well. I want to give you a little bit of color about how we did in the quarter, all about the industry in general, a little bit what we're seeing in cyberspace and also about, specifically about some color that Tal didn't share about Check Point. 
 So let me start with the state of cybersecurity, which I think is also reflected somehow in the financial market. We see constant increase in the level of cyber threats. You can see here on the chart, this is where we measure the number of -- the number of attacks on every organization every week on a global scale. And you can see that there is a 54% increase in weekly cyber attacks globally on organization. In the last quarter, 1 out of 53 organization was impacted by ransomware. That's again a 24% increase. And on the qualitative side, we see continuous increase in sophisticated attack, what we call fifth-generation cyber attacks, which is, I think, also something that we all need to worry about. So clearly, we see that. 
 And we look at the Gen V attacks, things that are called attacks that are called supply chain attacks but get to us through software components and software that gets into our infrastructure and infiltrates the rest. We've seen last quarter the Log4j one of the most devastating exploits and vulnerabilities that we've ever seen. This quarter, it was followed by something similar and not that strong, but in the same order of magnitude, Spring4Shell and Log4j, we saw with more than 50% of corporate networks were targeted. And that's a component. By the way, the Log4j was a component with a period of almost every web server and web service. Spring4Shell, as I said, something similar, slightly lower magnitude, but already in less than a month, 1/3 of corporate networks were exploited by that. We're very, very proud to say that Check Point upset, CloudGuard upset was the only solution to provide preemptive protection against it. So customers that listen to us, you install our Infinity architecture, pull this upset, which is AI-based component in front of their web servers were protected. And that's where our message is about providing the best security and doing it in a preventative mode. This really -- it's not just indicated that, it's not just gave an alert, it actually blocked the attack before the attack was even known to the world or to us. This is an interesting indication about what we can do. It's not just us that are noticing that. Sorry that I'm standing in front of our -- of your President. 
 I'll move myself a little bit, but you see that Joe Biden issued a statement about a month for call. This is a critical moment. It's time to accelerate our work to improve domestic cybersecurity. And the next part, your vigilance and urgency today can prevent, he also says or mitigate attacks. We are in the prevention. So if you can prevent I think it's the best possible way. So I think there is the room for the world, and there is a lot that we can do to actually make that happen and prevent the next cyber attack to then the next cyber pandemic. And I think that's what we are doing now, handling Gen V attacks, not just Gen III attacks and doing that with prevention, consolidation and providing the best security. So I'm very, very proud of that. And I think that's what we aim to do at Check Point and that's what we do. 
 In order to do that, I think last quarter, we shared our 5 key initiatives for the year and for the quarter. And I think we've started pretty well on all of them, company rebrand with the new slogan what we've been doing for almost 30 years, but the new slogan, you deserve the best security a new go-to-market organization, our Check Point Rockets organization, product break through with our Quantum Light speed and continuous investment in growing the organization and specifically growing our frontline sales. I'll go through some of these initiatives in the next few slides and just give you a quick update on what we've done because I think we've done quite well and did a lot in the first quarter to make that happen. 
 So I think you all saw our review, logo and I think that resonates very well, and you deserve the best security, people are starting to get our message about the differentiation of checkpoint security. And that's not just based on slogan or marketing, but actually based on the Check Point Infinity architecture about the fact that our network security, cloud security, user and access security are all built together, all using the same advanced technologies that can stop every threat on each 1 of the access vectors all using our shared Infinity vision or shared threat cloud with real-time threat prevention to actually stop these attacks. And again, I've demonstrated this some example. I'll show you later more. 
 Switching to our new go-to-market organization. We've brought new leadership to head our go-to-market organization, Rupal Hollenbeck. Rupal has been on our Board for a little bit more than a year. So we started knowing her, and we were very impressed. She has a very impressive record being a CMO for Oracle and more so more than 20 years in Intel and leaving a $23 billion global data center sales organization. So she clearly understand what it's like to run a large-scale organization. And we also moved the headquarter of this organization to Silicon Valley, which I think is also a very positive thing where it should be. And I think we have 3 goals in making that move. One is extend the reach of what we do to more customers, more segments and broaden what we do, doing it with better integration between sales and marketing, but will generate greater impact and scaling and extending our partner relationship, our relationship with the entire ecosystem. And I think this should work very well and should resonate very well. So we started that move, and I think it was accepted very well. 
 We continue -- we've made a big push in order to grow our investment in the organization. And specifically, my #1 focus is to grow frontline salespeople. Those work and call and deal with customers and sometimes partners to grow the sales. My goal was 25% as soon as possible. As you can see in the chart, we're over 1 quarter, pretty much halfway there. And I expect that in the next 2, 3 months, we'll hit that target or be very close to it and we'll have more capacity to grow our sales in the second half of the year and mainly be ready for 2023 with the capacity that we need. 
 We've also continued the hiring in other parts of the organization. R&D we've been extremely successful, actually a little bit better than we anticipated. We already reached our year-end growth targets in many organizations, specifically in R&D. And that's despite the tough hiring condition, despite everything we're seeing all around the world of resignations and tough to recruit top talent. We've been more successful than we've anticipated. And by the way, that also has a slight impact on our expense level, which is higher than we anticipated because we hired too many people. But I think it's the right thing, and we are building the right infrastructure. We've also formed along these lines, the free rocket organization. And just to remind you, the idea with the rocket is to make a much tighter combination between R&D, sales and marketing and specific growth areas so we can launch it fast and be very, very agile and make bigger investments and bigger growth in key organization. 
 We started that structure with 3 organizations. The cloud organization, which is pretty big, over $100 million. Second is the Harmony e-mail, which is midsized tens of millions of dollars in sales based on the acquisition we did last year. But again, a great expansion area where we see a lot of success. And third 1 is more a startup is the rocket with hardly being launched, and that's the MDR, Managed Detection and Response or what I'd like to call it, Managed Prevention and Response because in Check Point, we don't just detect, we actually prevent the attack. So we've launched these 3 rockets and I think it's starting to work quite well. And hopefully, we'll see better -- more results and better results later in the year from that. 
 So I think all in all, you see that we're executing on all the pillars and all the initiatives that we have. And I think that reflects in some of the business momentum that we've seen in the quarter. And without interfering too much with the financial slide that you already showed from Tal, just if you look at revenues, you can see that over the last 3 quarters, we had a very nice steady increase in the revenue growth. And if you remember, we've talked in the past about the fact that APAC, we got things pretty much right. EMEA, we did the major turnaround last year and brought new leadership and last year had an amazing result in EMEA. And we're saying U.S. is a little bit behind and here, you can see that the U.S. this quarter was starting to make this turnaround and produce very, very good growth rates across the board, which is something we are very proud of. So 3 quarters after we've had the new leader of our U.S. organization exactly a year ago. I think it was April or May of 2021. 
 So 3 quarters later, we are seeing good traction here. And I really, really hope that this traction is a sign for continuous of this continuation of these charts. And this is best demonstrated by not just by the chart and the overall numbers, but where we win. And you can see a few examples. I've talked about the Harmony e-mail a rocket. So you can see some results with real customers, a big U.S. government agency, 40,000 users tested our solution within 10 minutes, they found 50,000 fishing attacks with our solution. 
 We replaced the other vendor that was there before. Very proud of that and we are very happy about the results that we had. And number one, a big manufacturing, actually a sophisticated 1 in the technology space in North America had an e-mail-based attack wasn't happy that they weren't ready with their previous solution. And they found that with Check Point, they got the best catch rate and against 0-day malware, see slightly different than fishing attacks that was the -- about the other customer. 15,000 users implemented it on their cloud e-mail, again, great results, great success for this technology. But as I said, our success lies not on our -- vision is not just about individual components or -- but it's about the integration and the Infinity vision that we have. And you look at that and you see a few examples of customers that are expanding the use of our technologies with Infinity. All of them deploying more and more pillars from our technologies and look at the Check Point best security is the main reason to switch. You can see on the left side, the U.S. transportation in the rail industry in America, new customer where we replaced Cisco and softwood, they were looking at both our Quantum and Harmony families, not purchased our Harmony and Quantum family, again, great success in a new customer. 
 In the middle, in the sports industry in the U.S. They actually implemented the full 3 pillars, Quantum, Harmony and CloudGuard. They found their testing that we provide much better security, much better management 1 against Palo Alto. And again, I gave all the examples so far about the U.S. because we truly had a good quarter in the U.S., but the rest of the world wasn't much behind the rest of the world was also good. So one example from Europe, European energy and utility vendor implemented Quantum and Harmony, 1 against Fortinet and Cisco, new customer, I think, but they found, again, the Check Point security to be the best. And these are all good examples. By the way, these are not the largest deals of the quarter. We had some really, really large deals and expansion of giant customers that we have in sectors that we all know, we chose here to show some new examples of new things and new initiatives that we are doing, and I think we're doing quite well on them. 
 So if I need to summarize, we had a very good quarter. I couldn't be more pleased and again, some things you see here on the revenue side and on other metrics, some things I see internally and internally, the measures that we see are even healthier and better. Strong performance on the revenue and EPS. America strikes back. I think overall, our market despite all the challenges, despite the supply chain issues that are real, despite the tension in around the world, all of these have an impact on us. But despite all of that, I think the market remains healthy. Our results continue to be quite good and we continue to invest in growth. And this quarter, I'm very, very pleased to see that we saw the results, both on the investment side, but more important, on the top line side. And I hope that this traction will continue. 
 So thank you very much, and I would be very happy to open it to your questions or I don't know -- actually first let me speak about projections. So projection. You know my regular caveat, always upside, always challenges. These days specifically, there is plenty of challenges. And on the same token, I think we had a pretty good beginning of the year. Actually, I can't remember such a good start for the year many, many, many years. Usually, we start Q1 slow and when we accelerate. This year, we started very strong, and I hope it will be able to keep up with the pace of business that we had in the fourth quarter. 
 So projections. I mean, we are keeping the projections for the year and for the quarter, for the second quarter, which we didn't provide projections, revenues are expected to be in the range of $545 million to $575 million I think slightly higher than some of the models and some of the analysts. Non-GAAP EPS between the range of $1.55 to $1.65. GAAP EPS is expected to be approximately $0.35 less. I think we are -- again, I'm very optimistic. I don't want to be over optimistic. I don't want you to raise your expectations too much. But I think we had a very strong beginning of the year, and I hope that the rest of the year will show even more of that results flowing from our business pipeline to our business bookings to the revenues and to the EPS. So thank you very much, Tal, I don't know if you have something to add before we switch to the Q&A on the projections. 
Tal Payne: No, thanks, Shwed. We can start with the question. 
Kip Meintzer: All right. Our first question of the day is going to come from Saket Kalia, followed by Jonathan Ho from William Blair. 
Saket Kalia: Okay. Great. Kip, can you hear me okay? 
Kip Meintzer: Yes, we can all hear you. 
Saket Kalia: Okay. Excellent. Great, everyone. Tal, maybe just to start with you. I appreciate you addressing the billings and bookings point upfront. I think you said double-digit growth in bookings and let's call it, 4% growth in billings. I was wondering if you could just dig into that divergence between bookings and billings a little bit more. Is that because of supply chain challenges as we've been hearing about? Is that because of Infinity? And related to that, when do you think those 2 metrics maybe start to converge a little bit more? 
Tal Payne: Good question because if you recall, we've been here for a few years, and I always said, I don't want to give the billing because it will confuse you. So 2 quarters after we started, it's already confusing. The reason is there is always a gap. I mean it's not the first time it happened. Many times, there is a gap. Over time, of course, it closes, but in specific quarters it can be higher or lower and the reaction is always dramatic. So I thought in advance, I will give the explanation because now we give the billing. So I'll just give you 2 examples. Let's take Infinity. So Infinity typically -- I'll give you 3 examples just to give you a sense of why there can be gap. 
 First, if you have a deal that was in quarterly, then of course, you will see only the first quarter in the billing, but in the booking, you will have the full amount. You have Infinity that the invoicing of the product is only once they pull it. And if you recall, we said in Infinity, they have a year, if they didn't pull it yet, you will not see the billing. That's another example. 
 Another example, much simpler in product delivery. We issued the invoice only once we deliver. Now since this end of the quarter is typically very back-end loaded. In a regular universe, where you deliver in 5 hours since you provide the -- get the order. In the new universe, sometimes it takes you a week or 2 weeks or maybe 3 weeks. So you will see the billing only once you deliver. So all of the above can create a gap between the booking and the billing. So it's the same reasons that's always been. So there always was a difference between the billing and actually -- and then it translates, of course, to revenue. So there's like 3 legs: first, the bookings, then the billings, then the revenues. So you're a bit behind -- 2 steps behind the revenues. But it's never closed. Sometimes this is higher, something this is higher. Over a year, it should be aligned in a high level. 
Saket Kalia: Okay. Got it. Maybe the follow-up then for -- maybe I'll make it for you, Gil. You've talked about investing more in go-to-market. And I think some of the hiring numbers show that here as well. You've added new regional leadership as well to enable that. Gil, the question is, can you just maybe go 1-level deeper into some of the changes that you'd like to see in go-to-market to really sustain this type of growth? 
Gil Shwed: I think there is many -- first, I think we have an amazing team of people in our field, and they are doing the job. But I think we need to be far more aggressive in addressing customers, far more intimate with customers. I think 1 of the things that's holding us back that we have very loyal customers. They like us. They stick to us, but they work with us on the firewall side, on the network security side, and we have to work really hard in order to be elevated in the organization and get to other projects in other areas. We have to attack more and get more new customers, and I think we can do that. I think we need to, in many cases, be more aggressive on that, expand the methodologies that we work, get to the relevant points about providing the best security. Again, we've always stood to provide the best securities. 
 When you're already a customer, you take that for granted. You don't even see it. You think that, that's the world, we need to make sure that people understand it and people understand that there is a huge differentiation in products and vendors in the level of security. We get too many environments where our competitors were. We replaced the competitive product, and we see that the product was activated with very, very basic elementary security capabilities. And when we start enabling more advanced security capabilities, we find so much things that can be stopped. So I think these are some of the biggest changes that we had. And it's a coverage and it's -- again, there's all these things that needs to be done on the field. And again, the combination of sales and marketing and also add to that I think we're making good progress on all of that, and hopefully, we'll do even more. 
Kip Meintzer: Our next question is going to come from Jonathan Ho followed by Keith Bachman from BMO. 
Jonathan Ho: Fantastic. Congratulations on the strong quarter. I just wanted to follow-up on Saket's question regarding RPO and supply chain challenges. Do you expect RPO to continue growing from here? Or do you think maybe this could maybe reverse course? I just want to get a sense -- like I know you're not guiding, but just how we should think about maybe that normalization and what that pattern could look like this year given the impact of billings? 
Tal Payne: I think at the end -- I'll take that and Gil, you're welcome to add. I'll just say, remember, all these measurements, including RPO, is basically a reflection of the backlog and backlog is affected by the billing minus whatever by the booking, minus whatever you recognize as revenue, right? That's your remaining obligation. So if the booking is good, then it should increase. If the booking is not good, it will decrease, but I will always say you need to watch out for fluctuation between quarters that can happen very easily. If I get a very large contract, that is a multiyear, then your RPO will increase. That's why I'm actually not using that as a metric because I don't want to confuse you. I just tried to give you color from a few angles, you will feel comfortable to understand and that's why I didn't only tell you the RPO, which I never do and I don't intend to as well. But just to give you a few years of comfort level, so you will have transparency. 
 I gave you also the booking, and I told you annualized booking on purpose because annualized booking takes away the multiyear and they increased in double digits. So it was a really healthy quarter. When we look at product, product was also double digits. So the business was really healthy in any cut. What will happen in a specific quarter I don't think it's the right metrics to be honest. I always said it because I think it can fluctuate, depends on large deals that can come in, in 1 quarter and move between quarters. So you need to look at the full picture typically. 
Jonathan Ho: That's helpful. And then just given some of the shorter delays that you have in terms of product availability and supply chain challenges relative to competitors. Are you seeing this dynamic help your business in terms of win rates or any -- and also are you seeing any early order activity from customers as well? 
Tal Payne: I didn't hear the end of the sentence. Can you repeat the end. 
Jonathan Ho: Are you seeing any early ordering activity, so preordering activity from customers who are worried about delays? 
Tal Payne: Maybe I'll start with the end. You can't really know. But remember that we don't sell to inventories, except for very low level that's needed by the regular business. We make sure there's a customer at the end of the road. So if the customer decided to order earlier, maybe it happens. But I don't see something very big relating to that. We looked at it last quarter. I didn't really hear it in a big way but it might happen. I'm just not aware of that in... 
Gil Shwed: Maybe I jump in here. I think we did win some projects because we were able to supply products and some competitors didn't, and that's good. But on the same time, we had the opposite effect because some customers were building data centers. We couldn't get their other equipment, servers, networking equipment and so on from other vendors and delayed the whole project even while we were ready to supply. So I can say that our ability or Tal's team ability to work with our suppliers and deliver products. Of course, it was very important to us, but I can say that it increased the business by a big way because, again, there is an impact. If the customer can get their switches, routers, then they don't also, don't get -- they delayed the order for their security. 
Kip Meintzer: All right. Our next question comes from Keith Bachman, followed by Philip Winslow. And if we could keep the questions to one, that would be greatly appreciated. 
Keith Bachman: Kip, can you hear me okay? 
Kip Meintzer: Yes, we can. 
Keith Bachman: Great. Tal, I wanted to come back to you. On the last quarter, you had talked about as you look out over the course of calendar year '22, the opportunity to grow double digits. And I just want to hear based on a lot of questions on the difference between billings and kind of underlying fundamentals. But as you think about the opportunity for billings for the year, how should we be thinking about that? Or would you rather characterize that as the opportunity to reach double digits in revenue in terms of growth. So we're all just trying to filter the disparity between, I think, the solid revenue performance and underlying bookings versus the billings. And Kip, I know you asked me to keep it one, but was hoping also, Gil, you could just touch on any initial thoughts on Lightspeed would be great kind of traction and how we should be thinking about that over the course of calendar year '22. 
Tal Payne: Kip asking not to ask 2 questions, not because we mind just because we don't remember the first question. 
Keith Bachman: I'm hoping Kip doesn't remember that I asked two questions. 
Tal Payne: I think it was about the projection for the year. So I'll say the following. In order to reach -- if you remember, 1 of our biggest milestones that we were looking for was -- and internally, we also defined it in new business, double-digit growth because new business when you sell product and when you sell new Harmony or a new Quantum because that's the way they grow because renewals are really healthy. So it was never the concern, right? So we are focusing on the new business. So our focus on double-digit new business remains the focus, and we believe we're going to achieve that. That's what we're aiming for. We need that in order to be able, over time, to get to the double-digit growth in the revenues. 
 On the revenues, you have the first step, which is, of course, the milestone that we actually hit this quarter, and I hope it will stay that way. The combination of the product and the subscription, a lot of it is the new business because product is a new business and subscription, some of it is renewals, some of it is new. But when you're in double-digit growth there, you got to have new business in order to get to double digit, otherwise, if you just renew then you're a low single digit, just like the support. So to answer your question, we need to grow double digit on our new business in order to achieve our target of growing our revenues. 
Keith Bachman: Okay. Great. 
Gil Shwed: And I think Lightspeed, I think is, in Lightspeed, we had good traction. We didn't have too many deliveries, but we did what we do have some major customers that are big enthusiastic about that. And we do have good pipeline and I think good order book for Lightspeed in general. So I think it didn't have much impact on the first quarter in terms of revenues. But so far, the traction is pretty positive. 
Kip Meintzer: Our next question comes from Philip Winslow, followed by Patrick Colville. 
Philip Winslow: Just had a question focusing on the pricing environment. Obviously, there are a lot of moving parts here. Just curious what you're seeing out there. Obviously, you've got component issues, component price increases, but also you generally do price in U.S. dollars and there's obviously been some FX fluctuations there. So I guess maybe if you could break down sort of just what you're seeing in terms of just, call it, like the product and the new subscription bookings and any sort of pricing impact there? And then also, just as you think about just the renewal side, maintenance and subscription, anything there as well. 
Tal Payne: Okay. I can say one thing is clear. The price of the component definitely moved up. One way street, okay? So you can see it in our cost of goods sold, it's moved up and it's part of the gross margin that you see. So that's the only thing that is clear. When it comes to the revenue side, then you have a lot of things moving, and it's very hard to know, of course. So we increased the price, if you remember, in 7%, which I think is the lowest from any other vendor. I think content increasing like 30% and the Palo Alto maybe in 8%, and we increased in 7%. But if you ask if it to reach the end user, I would say it depends, some it did, some it didn't. It depends on the project. It depends on the competition, just like any product. So it's harder to measure that. And when it comes to the expenses, then that's the only thing, again, clearly, you can measure. Year-over-year, we actually aligned. So the effect on the expenses of the currency, Q1 versus Q1 is very minor, maybe $1 million or $2 million. The real effect is the growth in the headcount, which is, again, you will see it also in Q2, you saw it as part of the guidance as well because we recruited them towards February, March. So you actually see the effect more fully in Q2. 
 Kip, you're on mute. 
Kip Meintzer: Next up is Patrick Colville, followed by Shaul Eyal. 
Patrick Edwin Colville: So I'm just going to ask about the kind of geographic segmentation. I mean, Check Point's business over the last 4 years has done extremely well in EMEA. I mean that's been the standout success for the company. And maybe Americas somewhat underperforming. If I look at the results this quarter, to me, actually, the trend is very much changed. And If I look at sequential growth, Americas was actually very healthy and above trend. I look at EMEA, it was somewhat disappointing versus recent trends. If my numbers are correct, it's a 19% sequential decline. So can we just talk about geographic segmentation? 
Tal Payne: Wait, wait. Let's stop here. I'm not sure I understand. All of them increased if you compare quarter-to-quarter, all of them increased in 6%, 7%, 8%. So all of them increased year-over-year. 
Gil Shwed: [indiscernible] revenues, actually year-over-year, it may increase a little bit more, but once again, because of projects we want in previous quarters. I think all in all, they were very healthy. This quarter, we had a big turnaround in America in terms of the internal metrics, America had the best results. But Europe remains as healthy as it could be. And that remember, Europe also suffered from lack of sales in Russia and Ukraine. So -- but still, I mean, I'm taking that apart, Europe had a very healthy quarter, everything included. 
Tal Payne: But you're right that the growth was slower than what you've seen in Q3 and in Q4. 
Patrick Edwin Colville: Yes. The metric I was referring to was sequentially from -- if you look at a dollar amount in 4Q and then looking at the dollar amount in 1Q. No doubt how then -- but I guess, it was anything to call out. So Gil, you mentioned Russia, but is anything just so we should be aware of so that we can kind of factor that entire thing...? 
Tal Payne: The main effect in Q1 is Russia. Of course, we have basically no revenues so that sits in Europe, of course. 
Gil Shwed: But again, Europe is healthy, and I am very, very, very happy with what's going on for us in EMEA, Europe. I wish it everything would behave like that. 
Kip Meintzer: All right. Next up is Shaul Eyal, followed by Matthew Hedberg. 
Shaul Eyal: Thank you. Good afternoon, good morning, everybody. So Gil, you're essentially keeping guidance intact for the year. You've accelerated your year-over-year growth to 7% as we've seen in the first quarter, sound very bullish, some of us who covered you for ages, like we haven't seen you as bullish as you are for some time now. But still, you're keeping your wide annual guidance intact and still at the bottom of it, it implies a decline. Why not narrow the bottom range of your guidance? And maybe also, I know you've just mentioned Russia, but kind of what's your view on holding business in China? Are you getting out? Are you still conducting business in Russia, I'm sorry? 
Gil Shwed: So I think that you're right about that. We haven't got too much into the annual guidance and updating the model just in terms of analyzing it. I'm very bullish and positive. So I think you're reading me right. I'm not trying to do that. Remember, there are still risks. I mean there are still a lot of unrest in the world economy. We don't know what will be the impact of the inflation. We don't want -- know what will be the impact of the -- of over effect. Even the unrest in Europe, we hope it will be peace resumes and business is going to go all over the world. But Russia and Ukraine represent many tens of millions of revenues that are right now pretty much lost for us. And I don't know if we will recover them in the remainder of the year or if we will start doing more business there if -- again, hopefully will be some peace reached. So I think overall, I'm positive. I think in -- I would like to say in usual circumstances, but there's never usual circumstances. In usual circumstances, that will probably easily raise the lower part of our guidance because we just had 1 quarter that was a little bit better. And again, I'm optimistic. But again, remember, there is a lot of things that can change, and I hope that I don't want to jinx it by being total... 
Tal Payne: I would just say because when you think of where the where the sensitivity is in the range. It's typically in the product, right? Because support and subscription, you have slightly better visibility, much better visibility. The product is sort of every quarter as you go. And in a universe that's the situation and the supply chain is to be more prudent to keep a wider range. 
Kip Meintzer: Next up is Matthew Hedberg followed by Adam Tindle. 
Matthew Hedberg: Tal, I had a question for you. We really do appreciate your comments on annualized bookings. That's super helpful. I guess I'm wondering, could you put a little bit more color on that? And maybe comment on bookings duration and maybe how it changed from 4Q to 1Q? And were there any very large sort of multiyear deals that impacted Q1 this quarter? 
Tal Payne: No, because remember, if I say annualized booking is on purpose eliminating that. I can tell you -- off the record, nobody is listening, that also booking was double digit, okay? But I wanted to give the annualized, so there won't be a follow-up question of, did you get a really big, large deal of multiyear? So I wanted to put the farther away and just to say, actually annualized business run rate moved up in the double-digit bookings. So that was really nice to see that. So that was my point. I eliminate it. Did we have in the booking also a nice double -- also a nice large deal? Yes, every quarter, we have a large nice deals. So yes, it was a good quarter also for transactions or customers that purchased above $1 million. We had an increase in debt, both in number of deals and in dollars. So that was also a healthy metric. 
Kip Meintzer: Next up is Adam Tindle, followed by Andrew Nowinski. 
Adam Tindle: All right. Gil, I just wanted to ask on the go-to-market investments, particularly around the Americas region investors often compare this to a few years ago with the hiring of Chris Scanlan and others. And how the mixed feelings looking back at that period of time, and Chris has now moved on. This time, you're off to a very strong start with acceleration in metrics in the Americas. What did you learn from that period before? And maybe what's different this time with Grupo and the investments that you're doing? 
Gil Shwed: First, I think every person that we hire, we hire because we think that we are good. And by the way, we did have a lot of good people, some fit and some were able to execute better and some didn't. And some of it, by the way, is the people in the field. Some of us is us in headquarter, but don't always provide the best thing. For example, in the past, I focused a lot about improving the sales productivity, which I think we still can. We can improve the individual productivity. 
 Today, I think that we can do that in conjunction with bigger investments. So not just stop and say that's what we have, let's grow the productivity by 10% or 20% of the existing people. But let's do that, but also add in this case, 25% more headcount. So overall, if we succeed on both, we'll have double the -- I mean we'll have more capacity. If we succeed only on one, we will still do well. So right now I mean I would say I've learned that I want to invest more in the business, and maybe we could have done it in the past, too. 
 And I think, overall, I think time will tell, again, now 3 quarters in the job, [ Jaff, ] our new leader in America has produced a very, very good quarter. I hope it will remain that way. I'm very pleased with that. Would have liked it to be 2 quarters in? Yes, could it happen 5 quarters later? It could. I mean there's no way secret here and we'd like -- always we like better results faster. That's -- I think you like it, well, I like it too. And 3 is not bad, by the way, 3 quarters to make a change. 
Kip Meintzer: All right. Thank you, Adam. Our next question is from Andrew Nowinski, followed by our last question from Gregg Moskowitz. 
Andrew Nowinski: I wanted to ask about your product revenue obviously, up 6% this quarter on the heels of the recent Lightspeed launch. I'm wondering given that there was an acceleration in light of the chip shortage that you're dealing with as well. Are you seeing any sort of perhaps cannibalization with the new Lightspeed appliances, maybe seeing growth there versus cannibalizing some of your other next-gen firewall solutions are both doing well. If you could just give us some color on the appliance growth you're seeing and how sustainable that is going forward? 
Gil Shwed: So I think overall, I don't have all the data in front of me. We had very, very healthy growth in appliance sales. Lightspeed didn't have much impact on the quarter results. It's still -- I mean, I mean, again, it has -- I've mentioned it -- we had a good order backlog. We had some big customers that have adopted it, but we don't think it has significant or any impact on the quarter results. And overall, when I look at what's happened to appliance sales, extremely positive, almost all product families grew nicely. Number of units grew very well. I think ASP, I'm not sure if it went up or it remains steady on the different families. Again, the mix of the families can cause that to fluctuate a little bit. I don't know, Tal, if there's more color to that. But I think overall [indiscernible]... 
Tal Payne: I think when you look at the product, except for anecdotes, it grew in unit, and grew in dollar by each family both in ASP, which was steady, didn't go down, again, except for anecdotes. But in general, it was healthy and the new product didn't affect it yet because it's small. We need to monitor it, of course, because I know why you asked. We talked about it in the beginning of the year. It's one of the reasons there might be some cannibalization there. So it didn't start and we're planning to try to avoid that part, right? So it's not there yet. 
Kip Meintzer: All right. Our last question is from Gregg Moskowitz. Go for it, Gregg. 
Gregg Moskowitz: I'll look at what some others said about appreciating the additional bookings and RPO disclosures on this call. From a booking perspective specifically, I just would love to hear kind of how you would characterize the linearity this quarter as compared with a typical Q1? 
Gil Shwed: Slightly. First, our linearity is still very much back-end load, but I think this quarter looked well from the very beginning of the quarter. So again, still the majority of orders we get in the last few weeks of the quarter. But I think this quarter, it was a slightly, I mean, actually, I don't know, I don't want to mislead us. I don't know if it was more or less backloaded, but from the beginning, it was very healthy. We had a very healthy growth of the booking from the first few weeks of the quarter. 
Kip Meintzer: All right. Thank you all for joining us today. We appreciate your participation. And we look forward to seeing you throughout the quarter. And if you would like to have a chat with us after the call, please reach out, send me an e-mail at kip@checkpoint.com. Thank you, guys. Have a great day. 
Tal Payne: Thank you. 
Kip Meintzer: Bye-bye.